Operator: Good afternoon, ladies and gentlemen, and welcome to the Tidewater Midstream Fourth Quarter 2023 Financial Results Conference Call. At this time, all lines are in listen only mode. Following the presentation, we'll conduct a question-and-answer session. [Operator Instructions] This call is being recorded on Thursday, March 14, 2024. And I would now like to turn the conference over to Scott Bauman. Thank you. Please go ahead.
Scott Bauman: Thank you, operator, and welcome everyone to Tidewater Midstream's fourth quarter and full year 2023 results conference call. I'm Scott Bauman, Tidewater's Director of Capital Markets. And joining me today are Jeremy Baines, CEO; and Aaron Ames, our Interim CFO. Also with us and available during the question-and-answer session is Shawn Heaney, EVP, Planning and Strategy. Before we begin, please note that matters discussed on this call include forward-looking statements under applicable securities laws with respect to Tidewater Midstream and Infrastructure Limited, including, but not limited to, statements regarding investments and acquisitions by the company, commercial arrangements of the company, the business strategies and operational activities of the company, the markets and industries in which the company operates, cost and expense management, company's leverage and plans for debt and leverage reduction, refinancing of company's indebtedness, the value of the company's assets and the future growth objectives, targets and financial and operating performance of the company and its business. Such statements are based on factors and assumptions that management believes are reasonable at the time they were made and information currently available. Forward-looking statements we may express or apply today are subject to risks and uncertainties, which can cause actual results to differ from expectations. Further, some of the information provided refers to non-GAAP measures. To know more about these forward-looking statements and non-GAAP measures, please see the Tidewater Midstream Financial Reports, which are available on our website at www.tidewatermidstream.com and on SEDAR Plus.
Jeremy Baines : Thanks, Scott, and thanks to everyone for joining us today. As I approach my two month anniversary with Tidewater, I'll start with discussing the fourth quarter year-end results, and then I'll explain why I'm excited about our future. First and foremost, thank you to all our team members for all the hard work and support as I have tried to accelerate my learning so that I can contribute effectively. We have a strong team of very capable people who have done a lot to get the company to where it is today. When I became CEO on January 22nd, the business had a much improved balance sheet resulting from the sale of Pipestone and Dimsdale. The Pipestone sale has reset the balance sheet and allowed me to devote my energy to working with the team to enhance our focus, urgency, and accountability across the organization to optimize costs, better direct capital investment, and maximize our return on assets. As will be explained further by Aaron, the consolidated results for the year ended December 31, 2023 were impacted by lower gasoline and diesel sales volumes, primarily from the PGR turnaround during Q2 and weaker commodity prices, as well as higher maintenance costs at PGR. Following the successful turnaround at PGR, the facility reached record throughput levels in the second half of 2023. With lower sales during the fourth quarter, we built inventories at PGR. Diesel demand improved into 2024 and we have drawn down these inventories in Q1 2024 as we secured new customers. Turning to the Midstream business. Our results were impacted by maintenance work completed at Pipestone, and we also saw reduced throughput at some of our straddle facilities. Our midstream operations are now focused within the Deep Basin and present opportunities to consolidate volumes at our core facilities and capitalize on increased producer activity. In 2024, we expect to see throughput volumes at the BRC in the range of 100 million to 120 million cubic feet per day and 80 million to 90 million cubic feet per day at Ram River. In addition, after the sale of Pipestone and Dimsdale, we reevaluated the carrying values of our assets under IFRS standards and took a non-cash impairment charge. Primary drivers for the impairment are higher interest rates and the idling of certain individual asset components due to current market prices for certain commodities. We retain the option to turn these assets back on should the economic conditions change. A key area of my focus and mandate will be to optimize our base asset by capitalizing on opportunities from owning these assets and working to improve the long-term cash flow profile of our core facilities. To date, our profitability hasn't lived up to the potential for these assets. We can do better, particularly on managing the cost side. We are taking action to enhance utilization, remove excess cost, and make better capital decisions. Over the last months, I have been working with my executive team as we work to map out our future with a focus on managing our assets in a way that will provide great services and products for our customers, a good return for our shareholders, while always ensuring this is done in a safe and environmentally responsible manner. A large part of this planning is focused on enhancing our cash flow generation in 2024. We have identified many potential ways to enhance our cash flows with opportunities to reduce G&A expenditures and operating and maintenance program costs by $15 million to $20 million. Executing on these opportunities will be a large part of our focus in 2024. Based on the actions we are taking, assuming crack spreads remain at current levels and adjusted pro form a for the recent asset sales, we expect that consolidated cash flow and EBITDA in 2024 will materially exceed 2023 levels. On the renewables fuel front, our HDRD Complex in Prince George is operating at its design capacity after reaching commercial production in the fourth quarter of 2023. In January and February, our teams worked through normal start up challenges and the facility has been reliably operating at its design capacity for almost a month now. We expect the facility to operate at approximately 65% of its design capacity during the first quarter of 2024 with expected operations at design capacity thereafter. As I look to the future, we are well positioned to participate in the energy transition that is underway. I'm excited about the opportunities we have from the growing demand for natural gas and renewable fuels. As Canada is about to become an exporter of LNG, we see continued development of the great natural gas resource we have in Western Canada. I expect a long and bright future for our midstream assets. With the HDRD facility operating at its nameplate capacity, we are looking ahead to the next opportunity on the renewable fuels front. We recently entered into an agreement with the BC government to provide support for front end engineering and design work to provide us with a plan and capital cost estimate for a sustainable aviation fuel refinery. We have kicked off the study with a major global engineering firm and hope to have a bankable fees study completed in the first half of 2025. In parallel, there is significant work underway on the commercial aspects of project, including some significant interest in offtake from major airlines. This is an exciting opportunity we are pursuing with the opportunity to leverage our learnings and skills from our conventional and HDRD refineries. I'm pleased with the progress we are making. We play an important part in the energy transition, ensuring the world benefits from cleaner energy. We are on the way. There is a lot of work to do, but you can undoubtedly see why I'm excited about our future. I will now turn the call over to Aaron to go through the financial results.
Aaron Ames : Thank you, Jeremy. During FY ‘23, consolidated adjusted EBITDA was $162.9 million of which $45.9 million was contributed by Tidewater Renewables compared to last year's adjusted EBITDA of $249.8 million of which $62.4 million was from Tidewater Renewables. Tidewater Midstream consolidates the results from Tidewater Renewables due to our 69% ownership stake. The 2023 results were impacted by the scheduled PGR turnaround, lower crack spreads, particularly in Q4 2023, and scheduled and unscheduled downtime at Pipestone and Dimsdale. Consolidated results were also impacted by lower realized gains on derivative contracts. Fourth quarter consolidated adjusted EBITDA was $21.4 million of which $10.7 million was contributed by Tidewater Renewables, compared to $60.4 million in the fourth quarter of 2022, of which $16.7 million was contributed by Tidewater Renewables. Our fourth quarter was challenged by significantly lower demand for refined products due to much warmer weather, with many parts of BC and Alberta experiencing the warmest December on record and the slowdown in forestry activity driving down demand for diesel and resulting in lower sales volumes during the fourth quarter compared to the prior year. In addition, 2023 crack spreads moderated after reaching all-time highs in 2022. I also wanted to take a moment to discuss the use of proceeds from the AltaGas transaction. The cash proceeds from the AltaGas transaction of $328.2 million and the proceeds from the new term loan facility of $225 million secured by the shares were used to repay our $550 million credit facility as well as $53.3 million of working capital liabilities. Subsequent to December 31, 2023, on January 9, 2024, Tidewater monetized the AltaGas shares for proceeds of $341.6 million and fully repaid the $225 million term facility plus $67 million on the revolving credit facility for total debt repayment of $293 million in Q1 2024. The remaining proceeds were used to repay $49 million of working capital liabilities. The Pipestone transaction has allowed us to reduce our bank debt by over $500 million. As a result, going forward, we have lower cash interest costs, greater financial flexibility and less exposure to interest rate risk in this high interest rate environment. Speaking of leverage, we are currently down the path on the available options with respect to our convertible debentures, which come due in the third quarter of 2023. I will now turn the call back over to Jeremy for closing remarks.
Jeremy Baines: Thanks, Aaron. We are excited for 2024 and our current range of opportunities within our business. The HDRD complex is well poised to generate significant cash flow in 2024, and our balance sheet is in much better condition. We are focused on managing our controllable costs, optimizing our asset base, and maximizing shareholder returns. We have a motivated and engaged team, and we look forward to making progress over the course of the year. I'll now ask the operator to open the call up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Cole Pereira from Stifel.
Cole Pereira: Wondering if you can just lay out how you're thinking about capital allocation between your different levers, namely buybacks, growth CapEx, M&A, debt reduction, etcetera?
Jeremy Baines: Sure. As Aaron mentioned, we do have the convertible refinancing coming up in September. So our first focus on that front is ensuring we get that off with a good financing and a reasonable cost of capital. After that, we are looking at all opportunities and we'll determine where our best risk adjusted returns can be obtained for the capital that we generate.
Cole Pereira: And then obviously it's kind of early days from your seat, but how are you thinking about the corporate structure at this point? I mean you could maybe make the case that it's overly complicated and thus far you haven't seen the benefit of that. So any color on how you're thinking about that?
Jeremy Baines: So obviously, I think what you're referring to are, we are the majority shareholder in Tidewater Midstream. We have two public companies being Midstream and their ownership in renewables. At this point, we operate through shared services agreements and get efficiencies through that. We expect we will realize more of those as we go forward, and that's really all I can say on that front.
Operator: And your next question comes from the line of Rob Hope from Scotiabank.
Rob Hope: Realizing you've been on the seat now for two months, maybe can you add a little bit of color just in terms of kind of the genesis of the man management transition and what you, could do different in the seat?
Jeremy Baines: Could you repeat that? I'm having a hard time hearing you. Maybe get a little closer to your mic's phone.
Rob Hope: Sorry about that. I'm just wondering if you could speak to kind of what caused the management transition and as you're in the CEO seat, what you could potentially do different than your predecessor?
Jeremy Baines: Sure. I can't really speak to the cause of the transition. That would be deliberations of the board prior to me joining. But what we're going to do different, as we mentioned, we've already got a significant amount of improved capital allocation decisions and cost structure decisions that we've outlined in the announcements. That is the initiatives that we are pretty much feel are in the bag, have extremely high probabilities of capturing. With that, we have a whole another, bucket of initiatives that were have been identified that we're evaluating the probability of improving our optimization and cash flow from the assets. And a big part of it is going to be focusing the team go forward. We're focused on, really two key fundamentals. One, natural gas midstream business and providing great handling and services there. And two, being able to participate in the growing demand for renewable fuels with through our renewables investment, as well as being a great energy provider through our PGR refinery. We have a huge focus on generating cash flow and reducing costs. It's a different mindset than the previous management team did. They focused on headline EBITDA, which has caused them some problems frankly and that won't be happening with this team.
Rob Hope: And then maybe just moving back to capital allocation. The shares have underperformed year-to-date. When you take a look at the opportunities in front of you, you do have the NCIB available. What could cause you to lean heavier on that versus the other opportunities in front of you?
Jeremy Baines: I mean, it's really a rate of the risk return opportunity provided and when we feel like the shares, we have the excess capital and the share price is not reflecting fair value and we don't have other opportunities to deploy it into higher returning opportunities at that point we will consider it. Again I'll reiterate, we do have a major financing coming up this year with the converts and we need to get through that first before we look at those opportunities to potentially use the NCIB.
Operator: And your next question comes from the line of Patrick Kenny from National Bank Financial.
Patrick Kenny: I appreciate the guidance on the operational front. But just from a financial perspective, now that the HDRD is fully up and running. Any thoughts on what a range for consolidated adjusted EBITDA should look like for the year or at least an annualized run rate basis similar to what the old management team used to provide? Or is that something that you guys have decided to stay away from at least for now?
Jeremy Baines: Yes. One, I would say the old management team rarely or probably never gave guidance this early. So, 1.2, at this point we're staying away from that. We've provided the operational parameters and you can pick your crack spread and you're good modelers. I think you can come pretty close to where it should be. So at this point, that's what we plan to do. We're obviously constantly evaluating that and considering how we handle that go forward with the Board.
Patrick Kenny: And I guess just with the quarter being impacted by the timing of refined product sales at PGR, Wondering if you could help us maybe quantify that impact on EBITDA in the quarter and confirm whether or not you expect to get that full amount back here in Q1 just through higher sales volumes relative to production levels?
Aaron Ames: Yes. So what I would say is we built inventory in Q4 because of the weather and there was some weak demand, but that's going to be a positive for us going into Q1. So, yes, it will be an improvement for us going into Q1 having that extra inventory and having that ability to sell.
Patrick Kenny: Last one for me, just, coming back to the liquidity picture here. So you've paid off the term facility with the proceeds from the AltaGas shares. Is the remaining $150 million of revolving credit capacity, is that the right amount of total credit capacity we should be thinking about here, at the midstream level going forward? And then if so, I guess -- go ahead.
Aaron Ames: Yes. I would say, like, really, we're using it to manage working capital. So it's the right amount. We've got a number of initiatives that Jeremy discussed in his comments, which was actions to improve or optimize our operations and lower our cost base. And so that along with our availability on the revolver is enough liquidity to manage the business going forward. Absolutely.
Patrick Kenny: And maybe you can just confirm Aaron too because you talked about the refinancing on the converts coming due. I know in the prospectus anyway, you have the option to pay back the principal amount in the form of common shares. But just looking at the share price and where it sits today, I mean, can you confirm whether or not that's a realistic option?
Aaron Ames: It's an option under the agreement, but we're far down the path on much better alternatives than that. So, yes, that's absolutely not the preferred option and we're down the path on other alternatives.
Operator: [Operator Instructions] And your next question comes from the line of Robert Catellier from CIBC Capital Markets.
Robert Catellier: I just want to take another shot at the EBITDA question. I believe I heard in your opening comments that you expect EBITDA to be materially higher than 2023 levels after adjusting for the pipeline Pipestone sale. Can you confirm if that's on a deconsolidated basis and what amount we should be adjusting with respect to Pipestone? I think at the time of sale, you indicated $55 million to $60 million EBITDA from those assets, but you had the outage in Q4. So we're just looking for the appropriate amount to adjust the '23 numbers by?
Shawn Heaney: Yes. Thanks, Robert. It's Shawn here. Yes. I would say you're pretty much in line there. When Jeremy made that comment, we're talking on the consolidated basis. So I think the way we kind of look at it is on a consolidated basis when you look at the assets that we've recently sold and then heading into this year moving into call it I'll call it [indiscernible] first year of full operations, although I think as we mentioned there's just some utilization in Q1 down with as we work through some of the operational, which we've moved through now. So the 160 numbers were consolidated and as mentioned, we do think we can kind of exceed where we were this year.
Robert Catellier: Yes. I'm curious on given the magnitude of the impairment, what we can expect on the remainder of the midstream assets in terms of EBITDA generation is pretty significant impairment.
Shawn Heaney: Yes. And I would just too maybe kind of continue with that. I mean, I would just say it's obviously the accounting requirement we've all kind of buy for us standards working through that including where the current carrying value was. And then I'd say a conservative estimate on what the outlook is. That being said, I think we're excited about a number of the opportunities in front of us and where those assets can go. So we really do look at it as a noncash impairment and it's purely based on the accounting standards. But in no way does that reflect what we think we can do with those assets going forward.
Aaron Ames: And just to add to Shawn, it is a turnaround year at BRC. We have spent a lot of time optimizing that turnaround. We've removed a significant amount of capital and how we are going to do that turnaround as well as in a way that's going to significantly enhance cash flow at that facility.
Jeremy Baines: And just to add to what they said is also interest rates had an impact on that too. So it's more of an accounting treatment.
Robert Catellier: Yes. I understand the impact of the rates there. You're sort of I guess silent on the growth capital. Obviously, you're focused on reducing your cost and the upcoming renewal on the converts, but can you give us any thoughts with respect to what you might be spending on capital?
Jeremy Baines: We gave guidance on maintenance capital, so I'll refer you to the release there. On the growth side, we have some very small, amounts for, really high return kind of debottlenecks. We will opportunistically, evaluate that as we go through the year and see where opportunities might warrant spending. The main focus right now is, a little bit more deleveraging, obviously getting ensuring HDRD is up and going. And then we do have a significant amount of spend across the company on the fees study, although fully funded through, capital emissions credits. But that is the main focus, getting that cash flow up and optimizing the existing assets. I will reiterate again, we gave guidance around some of the opportunities we've identified in the first 50 days that we have, extremely high probability line of sight on executing on. There is a second list of opportunities that we're flushing out and pursuing.
Robert Catellier: Last point for me. I just wanted to confirm that none of the impairment was related to PGR. Is that correct?
Jeremy Baines: None.
Operator: And your next question comes from the line of Robert Kwan from RBC Capital Markets.
Robert Kwan: If I can just come back to some of the answers around, what you plan to do different strategically. Definitely, you comment a lot on operations and costs and that was clear in the press release, the original press release. But you also talked about a prior focus on headline EBITDA. And I'm just wondering if you could give a little bit more color around that just given operations and costs do feed into that number?
Aaron Ames: Yes. I mean, I think the best way to look at it, Robert and Shawn here, is it's much more of a holistic approach on how we're kind of evaluate our business. Not to say headline EBITDA is not important and not that we don't want to kind of add where there's abilities to add EBITDA and cash flow to the business. But we also want to be cognizant around capital structure and optimizing both our assets and corporate integration a stronger return on assets, making sure we're kind of if there's ability to add EBITDA with the various projects, we'll look to do that. But we also want to be cognizant of the cost and how it boils down to the corporate free cash flow.
Jeremy Baines: Yes. Just building on that, it it's really, ensuring the things we're doing are, operationally effective in generating free cash flow, but also ensuring that as we allocate capital to new investments, that they have the proper risk return profile and will generate a very strong return on investment in the long-term.
Robert Kwan: And then there was a comment just around financial flexibility to optimize the existing asset base just with the pay down of debt causing that statement. Can you just explain what you little bit more detail what you meant by that?
Jeremy Baines: If I'm hearing you a question right, I think you're referring to, with the Pipestone transaction that clearly did a significant amount of deleveraging, used interest expense, moved up availability on our operating line, just put us in a much sounder position from a leverage position, if that's what you're referring to?
Robert Kwan: Yes. So the statement was just with that debt pay down, it gives you financial flexibility to optimize the existing asset base, but then you're also talking about focusing on free cash flow. So I'm just wondering what the lower leverage, like how that helps you optimize the existing asset base if you're also not looking to spend a lot of growth CapEx?
Jeremy Baines: I think it gives us some dry powder to take advantage of good returning opportunities that come up, smaller tuck-ins, optimizations around our facilities without having to raise outside capital.
Robert Kwan: And then just if I can come back to the impairment, so it's clear the interest rate impact on the present value. But there was also a focus in the audit letter that it was the BRC. So I'm just wondering if you can give some more color as to what is materially worse at the BRC and if you can just frame that as well, what the forecast for that is, what the delta versus say what it did in 2022 and 2023?
Aaron Ames: Yes, for sure. I would say, there was some related to the BRC as long as our broader call it Deep Basin business unit as well. In terms of it, I think one, we kind of evaluated where the carrying value was and what the long-term outlook at conservative estimate looks like. As you probably know, the BRC is a pretty unique asset. It's a really kind of a broader complex with a number of individual components. I'd say there's some maybe more ancillary components that we're not looking to utilize at this time as well. Some of them were actually maybe tied in with some other parts of our business. We have options to look at these and utilize these down the road. But where we are today in the forecast, we kind of used as part of the accounting exercise is just where we landed. And but obviously, you know, as market conditions adjust, we can look to reevaluate this. So, yes, I think that let me know if that kind of answers your question, if there's anything else you want us to jump in.
Operator: [Operator Instructions] And your next question comes from the line of Trevor Reynolds from Acumen Capital.
Trevor Reynolds: Actually just a question on the HDRD. And just curious, you guys are up to nameplates capacity now. I'm just curious kind of if the operating costs rate at this point are in line with expectations or if you have a bunch of work now that you're up to nameplate capacity to get down to where you kind of hope to be?
Jeremy Baines: No, everything is running at the economic levels that we had identified. Obviously, feedstock is fluctuating. We've actually seen a move down in the cost of soybean oil which really drives the cost of feedstock for the facility. So everything is on track from an operating cost point of view. We did note there is a little bit of a lingering derivative contract for purchasing soybean oil that was put in place that is working off over this year and next year.
Trevor Reynolds: And then was there any major cost overruns with or additional costs that we should be factoring in with some of the issues with the start-up?
Jeremy Baines: No. The main challenge was around the hydrogen compressors and that's all being done under warranty. There's a very tiny amount of final things that need to be done around some insulation and that couldn't be finished with the cold weather, but will be done shortly. But otherwise, the project is closed for all from all material capital respects.
Trevor Reynolds: And then last one just on the feedstock, what is the feedstock mix today that you're putting into the system? And how do you guys look at, I guess, the outlook in terms of testing new supplies and maybe just your thoughts on that?
Jeremy Baines: So the main feedstock we've been using to date is kind of oil. We have also tested a number of other feedstocks, used cooking oil, various tallows, etcetera. We have the plant, set up to have optionality on feedstocks, and we continuously evaluate the economics of running those feedstocks. And right now the focus has been over the last month to get past that final hurdle and get to 3,000 barrels a day. We've been doing that for almost a month now. And so now as we look forward, we're evaluating, supply cost and the economics of adding feedstocks into the facility. We have already tested a number of them, so, the operating team feels quite confident, that we can add them without, tripping up the operations.
Operator: There are no further questions at this time. Mr. Bauman, please proceed.
Scott Bauman: Thanks, everyone, for joining the call today. The team is available to address any outstanding items with their contact information at the bottom of this morning's press release. Thank you very much for joining us today.
Operator: Thank you. That does conclude our conference for today. Thank you for participating. You may all disconnect.